Operator: Good day, ladies and gentlemen and welcome to the Orion Energy Systems Fiscal 2022 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference is being recorded. I would like to turn the call over to Bill Jones. Sir, you may begin.
Bill Jones: Thank you, and good morning. Mike Altschaefl, Orion's CEO and Board Chair will open today's call to review the company’s 2022 performance and business outlook. Orion's COO, Mike Jenkins will then review business operations. Finally, Per Brodin, Orion's CFO will review additional financial items and then we will open the call to your questions. An archived replay of the call will be available after today in the Investor Relations section of Orion's website. This call is taking place Tuesday, June 7, 2022. Remarks that follow and answers to questions, include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally include words such as anticipate, believe, expect, or words. Additional statements that describe future plans, objectives, or goals are also forward-looking. Such forward-looking statements are subject to various risks that could cause actual results to be materially different than expected. These risks include among others matters that the company has described in its press release issued this morning and in the filings with the SEC. Except as described in these filings, the company disclaims any obligation to update forward-looking statements, which are made as of today's date. Reconciliations of certain non-GAAP financial metrics to the corresponding GAAP measures are provided in today's press release as well and this is available at www.orionlighting.com. Now, I will turn the call over to Mike Altschaefl. Mike?
Mike Altschaefl: Thanks, Bill. Good morning and thank you for joining today’s call. A few weeks ago we announced our expected fiscal '22 results and today we reported our actual results for the fourth quarter and fiscal year ended March 31, 2022. Despite a variety of external business and economic challenges, Orion was able to grow fiscal ‘22 revenue by 6.5% over last year to $124.4 million. We performed well from a profitability and a cash flow standpoint, particularly in terms of gross margin and adjusted EBITDA compared to last year and our cash and financial liquidity position remains strong.
Stay-Lite Lighting. Our: I will now turn it over to Mike Jenkins, our COO, to provide some additional commentary on our operations and then I'll return to comment on our business outlook and other matters. Mike?
Mike Jenkins: Thanks Mike. During fiscal ‘22, we expanded our major national account base by adding or reactivating customers, particularly in the technology and specialty retail verticals. Our go-to-market strategy is to highlight Orion’s unique ability to deliver high quality products, innovative design, custom engineering, industry leading energy efficiency, domestic manufacturing, and our turnkey design build install capabilities, all of which we work to deliver with the highest levels of customer service. We target customers who can best benefit from our unique focus and capabilities and we have the benefit of a growing base of reference accounts to validate our performance. We are particularly encouraged by our traction in the Energy Service Company or ESCO partner channel, where in fiscal ‘22 we grew revenue by 71% to $19.6 million. We believe this channel offers a significant growth opportunity for us going forward, because our ESCO partners are focused on delivering energy efficiency improvements to their customers. ESCO compensation is generally tied to the cost reductions they deliver through energy efficiency upgrades to their customers. Because Orion utilizes the highest quality design, components and manufacturing methods, we continue to lead our industry in energy efficiency performance measured as lumens per watt, as well as quality and reliability. Orion fixtures provide savings to end customers through lower energy usage, dependable performance, and limited maintenance, a value proposition that ESCO has appreciated about our products. Also as a U.S. manufacturer, we can produce and deliver products in just a few weeks, which is typically a fraction of the delivery turnaround of competitors sourcing fixtures from overseas. Orion’s strengths put our ESCO partners in a strong position to win business and to deliver excellent ROI to their customers. As an example, we had good success this year supporting in ESCO to supply LED fixtures for several large East Coast school districts. We are working to build upon this success in other regions and believe that federal program funding may create additional opportunities to upgrade educational facilities. Our distributor and contractor channel also achieved growth in fiscal ‘22 with revenue of $22.2 million, up from $21.1 year prior. This channel, which focuses on broad line electrical distributors continues to be an important path to the market for us. We have developed LED lighting products specifically designed for this channel, which tends to supply new build, agricultural and smaller projects. We continue to build on our base of electrical contractor relationships and expect this channel to contribute growth in fiscal ‘23 and future periods. Despite the many challenges created by supply chain and pandemic related issues, the Orion team has been quite successful in mitigating any impact within our own operations. Proactive measures and smart inventory bets have enabled us to meet our customer requirements with very minimal business impact. We are still delivering manufactured product in two weeks or less and this ability to meet short lead times combined with our complete turnkey project and maintenance service solutions puts us in a strong position. I will now pass it back over to Mike.
Mike Altschaefl: Thanks Mike. I'll turn now to an exciting new area of long-term growth potential, which is Orion Maintenance Services. We made significant strides formulating and building out the team and systems for our greenfield maintenance services business over the past two years after launching this service with our major national retail customer and our national specialty retail customer. Lighting and electrical maintenance services provides an ideal compliment to our existing business as it allows us to extend our expertise and customer value proposition to address the entire lighting product life cycle, while building a growing base of recurring services revenue. Maintenance services provide us with more regular ongoing customer contact points that should provide additional LED lighting solution sales opportunities. Similarly, LED lighting systems sales, particularly our turnkey solutions should provide opportunities to demonstrate our service excellence in open channels to introduce our maintenance service offerings.
Stay-Lite Lighting: We also see good opportunities between our service capabilities in building our relationships with many of our ESCO and electrical contractor distribution partners as we are able to partner with them in some contractors to execute Orion installation or maintenance services for certain customers in regions of the country. Growth in lighting and electrical maintenance services should provide a growing base of steady recurring revenue that compliments and balances our LED lighting solutions and turnkey project business. This maintenance business is on track to generate meaningful growth in fiscal ‘23 with at least $20 million of revenue, up from $5.8 million in fiscal ’22 and we expect this business can deliver a gross profit percentage roughly in line with our existing business. Overall, there are a number of positive growth dynamics and trends that give us great optimism for continued growth and expansion over the long-term. However, current supply chain and other economic challenges continue to create near-term visibility challenges in customer decision making regarding projects and their timing. Some customer delays impacted our fiscal ‘22 second half results and continued to create near-term visibility challenges on certain larger projects. Looking ahead, we have a realistic path to matching or exceeding our fiscal ‘22 revenue performance in fiscal ’23, though uncertainties principally around project timing, make it difficult to provide specific revenue guidance at this time. We expect revenue from our largest customer to decline to approximately $25 million in fiscal ‘23, following the completion of the turnkey LED lighting and control retrofit of the bulk of the U.S. store footprint. We are optimistic regarding the potential for strong growth in our business outside of this customer to offset this revenue decline. Our path to matching or exceeding fiscal ‘22 revenue would result in organic revenue growth of approximately 50% outside of our largest customer. We reviewed key factors expected to influence Orion's fiscal ‘23 performance in today's press release. Orion's Management and Board remained committed to a long-term strategic plan to grow the business via organic and external growth to a $500 million annual revenue business over approximately five years. We envisioned the achievement of this goal with a combination of double-digit organic growth plus growth through acquisitions, partnerships and other initiatives. Our confidence in achieving our growth goal is rooted in the strength of Orion's expanding product and service portfolio, our growing base of customers and distribution partners, our unique turnkey service capabilities, and our team's commitment to delivering customers the highest quality solutions and service with a compelling return on investment and environmental benefits to our planet. We are also confident in our ability to accelerate our growth through strategic transactions or partnerships such as our recent Stay-Lite acquisition. Our ongoing research and analysis have created a growing pipeline of potential opportunities. We believe we have the financial strength to execute on the right opportunities in a manner that is accretive to our financial performance and shareholder value. I wanted to highlight a few of Orion's recent industry recognition. We were one of four winners in the Concept Category, of the American-Made challenge L-Prize competition sponsored by the U.S. Department of Energy NREL and Pacific Northwest National Laboratory. Orion was recognized for a sustainable and connected LED trough of retrofit fixture. This highly efficient networked LED luminaire with advanced controls, including WiFi technology can retrofit in existing fluorescent luminaire in less than two minutes.
ISON PureMotion:
Spaces4Learning:
Spaces4Learning is a leading:
ISON LED High Bay: I want to talk about ESG for a minute. With our history rooted in delivering improved workplace environments, safety and reduced energy conception, we have long been committed to fundamental ESG concepts. This year, in response to the growing interest in enhanced ESG reporting, we will be providing stakeholders with our initial sustainability report, which will be updated annually. Core values that drive our ESG thinking include a one team mentality, meaning Orion is nothing but the sum of our employees as a collective team. We also embrace technology and innovation, and also see the benefits of new technology to meet our customers changing needs with enhanced efficiency, safety, and a lower environmental impact. And finally, we embrace a customers for life philosophy in which we view our customer and partner relationships as ongoing and perpetual as a core value. We are committed to meeting the evolving needs of these key relationships to deliver improved operating performance, sustainability, energy savings, and carbon footprint reduction. I hope you spend some time with our sustainability report and we welcome and encourage your feedbacks that we may continue to evolve in a productive stakeholder friendly manner. Now I'd like to turn the call over to Per Brodin, to discuss financial highlights and additional insights. Per?
Per Brodin: Thank you, Mike. I'll quickly review some highlights and then we can open the call for Q&A. As Mike mentioned, Orion grew fiscal ‘22 revenue 6.5% to $124.4 million, driven by growth outside our largest customer relationship, including our ESCO channel, which increased by $8.1 million and a $5.7 million increase in maintenance services. Fourth quarter fiscal ‘22 revenue decreased to $22.1 million from $35.5 million in Q4 21, which had benefited from strong national account project activity, enabled by the easing of work and travel restrictions following the onset of the COVID-19 pandemic. Our gross profit grew 12.6% to $33.9 million in fiscal ‘22 as our gross profit percentage improved to 27.3% from 25.8% in fiscal 2021. The recent year benefited from higher revenue, pricing increases and ongoing supply chain product and cost management. Gross profit percentage declined to 23.8% in Q4 versus Q4 2021 due primarily to lower fixed cost absorption on reduced revenue. Fourth quarter fiscal 2022 operating expenses were $6.6 million slightly below the Q4 2021 level of $6.7 million. Fiscal 2022 operating expenses increased to $25.5 million from $23.3 million the prior year. The increase principally reflects higher sales and marketing expense, as well as a $0.5 million in acquisition expense. Fiscal 2021 expenses were also suppressed based on reductions associated with the COVID-19 pandemic. Orion reported fourth quarter fiscal ‘22 net loss of $1.2 million versus net income of $22.1 million in Q4 fiscal ‘21, which included a $20.9 million noncash tax benefit from the release of valuation allowance against Orion's deferred tax assets. Fiscal ‘22 net income was $6.1 million or $0.19 per diluted share versus $26.1 million or $0.83 per diluted share in fiscal year ‘21, which also included the $20.9 million tax benefit. Orion's effective tax rate was 26.2% in fiscal ’22, although we do not expect to pay meaningful cash taxes for several years because of net operating loss carry forwards of more than $60 million for federal tax purposes as of March, 2022. Orion generated adjusted EBITDA of $9.7 million in fiscal ‘22, including negative $0.4 million in Q4, which compares to $9.1 million for fiscal ‘21, including $3.1 million in Q4 ’21. Looking beyond fiscal ‘22, we remain very confident in the company's long-term strategic growth plan and potential despite near-term customer supply chain and economic uncertainties. Supporting our outlook, Orion remains in a strong financial position. We ended fiscal ‘22 with over $35 million in liquidity, including $14.5 million of cash and $21 million available on our credit facility with no material debt outstanding. Net working capital improved to $32.9 million at March 31, 2022, compared to $26.2 million on March 31, 2021. Given our financial strength, we are well positioned to pursue other potential accretive acquisition opportunities in this environment and we will remain prudently opportunistic. And with that, we'll turn the call back over to the operator for the Q&A session.
Operator: Certainly.  And our first question comes from Eric Stine of Craig Hallum. Your line is open.
Eric Stine: Hi everyone. Thanks for taking the questions.
Mike Altschaefl: Yes. Good morning, Eric.
Eric Stine: Good morning. So maybe just starting with Home Depot, do appreciate the detail you're giving for the contribution in fiscal ‘23. You know, just curious what kind of visibility you have into additional work here, whether it's fiscal ‘23 and going forward, should we think about that $25 million as kind of a sustainable run rate or should we expect a direction one way or the other longer term?
Mike Altschaefl: Yes, we felt since we were now substantially through the retrofit of the U.S. retail locations yet continuing with the other business within which we've mentioned in the past, which consists of new construction of locations of special projects in the store locations of maintenance services that we wanted to give a little more visibility going forward. So we do expect the $25 million to be somewhat of a base line with this customer, and we expect that to continue for a number of years going forward. So we feel that we've managed through the concentration reality that we had with Home Depot for fiscal ‘22 and the $61 million was 49% of revenues at $25 million. And assuming we stay flat in revenues in ‘23, we'd be at 20% concentration, which we think is a much healthier situation. So overall Eric, yes we do expect that level of revenue combination of the items I mentioned, plus the service revenues to be around that $25 million range.
Eric Stine: Okay, that’s great. I appreciate that. And maybe for my second one, just on maintenance services, obviously you've got high hopes there, but as you think about that longer term, I mean, what part of your five-year targets do you think maintenance services is? And is that an area where you think you will add to it through inorganic sources? Is it something that you think is organic, maybe just some details there?
Mike Altschaefl: Absolutely. So starting with the Stay-Lite acquisition in January, that company is giving us a run rate going into fiscal ‘23 of around $10 million of revenue and we're expecting roughly $10 million of revenue from a couple of our other retail customers at this point in time. So as we've mentioned, we think we will exceed $20 million in revenue. So it's becoming a certainly greater proportion of our total revenues and we expect that to grow. How we do that going forward is likely to be a combination of organic and inorganic. We now have a really strong presence, particularly in the Midwest and Mid-Atlantic states, but we have the ability to provide those services on a nationwide basis. And so we may expand that through additional acquisitions. We may do it by adding people in different locations to be able to do that. And we also have not at this point taken full advantage of rolling that out to our existing customer base, which we expect to provide growth also. So we think it's a great opportunity for recurring revenues and we see opportunities both in the lighting industry for that as well as some other sectors that we may get into in the future.
Eric Stine: Okay, that's great. Thank you.
Mike Altschaefl: Thank you, Eric.
Operator: And our next question comes from Alex Rygiel of B. Riley. Your line is open.
Alex Rygiel: Thank you. Good morning, gentlemen.
Mike Altschaefl: Good morning, Alex.
Alex Rygiel: A couple of random questions here. First, if you achieve your fiscal ‘23 sort of revenue guidance here of around flattish, I guess year-over-year, can you talk a bit about EBITDA margins and directionally how should we think about them expanding or compressing? There is obviously various shifts in business, so away from a large customer towards the ESCOs and maintenance. So if you could just sort of give us some thoughts there on directionally where margins should go?
Mike Altschaefl: Sure, let me start and I may have Per ask a little bit on just longer-term. So first, even with obviously a second half of fiscal ‘22, not as strong as we had originally anticipated, we were pleased to end up with full year adjust the EBITDA of the $9.7 million. We've said consistently that we feel that we are a company at current levels that can be in those high single digit EBITDA range. And, and as revenues get a little stronger and grow somewhat to get into double digits, and then longer term we feel this company as it grows and we get additional margin improvements from having the additional flow through of manufacturing in our facility, that getting to the mid-teens is certainly a viable objective for us. And it's an area that we've hit in the past as we've had very high volume coming through our manufacturing facility. So I think short-term, I think high single digits is a reasonable expectation for us and more midterm the lower double-digits moving up to mid-double-digits over time.
Alex Rygiel: Thank you. And then any chance you could quantify the value of projects that were delayed in fiscal 2022?
Mike Altschaefl: Well, I will give some high level comments to that, and it goes back to the last couple of combination of calls we've had and press releases we've had. And first of all, what we attempted to do back in January was to provide some information as to why, as we entered into fiscal 2022, we did feel that the revenue guidance we'd given at that time was based on our existing customer base, expectations of future sales and particularly some significant projects that we had and we walked through a couple of times now, some of those projects being delayed. So I think it's fair to say that a lot of that revenue shortfall from what we originally expected the year to be going back a year ago to today is due to projects being pushed back. We do not feel that we've lost a significant amount of business through either the supply chain aspects of us internally or from our customers. Things have just been pushed back and delayed, and that has continued through the fourth quarter of fiscal 2022. So with all of that kind of said, you probably would put a box around that of somewhere between $20 million and $25 million of business that we had expected that has been, was pushed back due to largely customer situations and decisions, and sometimes their own supply chain challenges and somewhat of a COVID mix in some situations in terms of access.
Alex Rygiel: And of that $20 million to $25 million, how much of that is in your kind of baseline assumption here of flattish revenue? Is a portion of that in that baseline assumption or is none of that? And therefore, if it were to all come back, could there be $20 million to $25 million of upside to your commentary of flattish revenues in 2023?
Mike Altschaefl: I would say that today Alex, most of that business that we expected in 2022 that we hope it may occur in 2023, is part of what we are talking when we say we see visibility to being flat in 2023. So I think it would not be -- I would not say that if all of that happens, it would suddenly be a big upside potential. There's always upside potential and some of our customers are doing more than, what we had expected going into this fiscal year and certainly we're always looking for new projects that will happen during fiscal 2023, and we may make other acquisitions. So I certainly feel optimistic there could be some upside, but I think it would not be correct to simply assume if all of that happens that suddenly 2023 would be significantly higher.
Alex Rygiel: Very helpful. Thank you very much.
Mike Altschaefl: Thank you, Alex.
Operator: And our next question comes from Amit Dayal of H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good morning, everyone.
Mike Altschaefl: Good morning, Amit.
Amit Dayal: Yes. Hi Mike. Just, with respect to sort of the macro environment Mike, I know you're guiding for sort of flattish to maybe some improvements year-over-year, but what's the risk of any of these projects being canceled? I mean, we saw targets result or announcement today. Some of these customers sort of fall in -- are these companies fall as part of your customer base, how should we think about any projects continuing to get pushed out, et cetera? Have you seen any of that happen already or any color on that side would be helpful? Thank you.
Mike Altschaefl: Absolutely. I think that the reason we felt it necessary in some of our prepared remarks today to say that there are things that we are watching is, it starts probably at the macro level, just in terms of what's going on globally right now with some uncertainties. And so, we do think that if the economy would change significantly, it's possible that customers might decide to slow things down in terms of what they're planning to do. And yet, on the other hand, we have seen situations where when the economy slows down, companies are looking for cost savings and migrating to LED lighting usually provides a 50% or greater energy reduction. So at times those capital projects can move forward. So there could be some pros and cons in terms of economic changes or economy changes in the impacts on our business. I think the supply chain side of things I would say, have gotten modestly better than they were three months ago and certainly six months ago and some of the logistics have been better, but there continue to be some uncertainties in that area. But I probably would put the overall concern we would have right now or caution I would say just on the economy itself and what they might do to some of our customer decisions. But again, fortunately we have seen in the past and even back when COVID first hit and certain projects had to stop at companies that the LED lighting side of things, projects sometimes prevailed because of the great energy savings and improvement in safety and environment for their people. So those are the things that we are watching right now. And I'd say going into the first quarter, we're seeing continued caution by our customers saying how fast do they want to move on projects and where some of their supply chain challenges might be.
Amit Dayal: I appreciate that. Thank you. Just one last one, I guess, how much was ESCO in fiscal 2022 for you guys in terms of percentage of revenues?
Per Brodin: I'm sorry. I didn't hear that full question.
Mike Altschaefl: Yes, could you start over, the first part cut out on us Amit please?
Amit Dayal: Yes, the ESCO channel. I was just wondering how much, what percentage of revenues was ESCO in 2022?
Per Brodin: For the full year, it was 18%.
Amit Dayal: Okay. Okay. Thank you. That's all I have.
Per Brodin: I'm sorry. I'm sorry. It, yes, it was flat year-over-year, 18%.
Amit Dayal: 18% growth.
Operator: Our next question comes from Jeffrey Campbell of Alliance Global Partners. Your line is open.
Jeffrey Campbell: Good morning and thanks for all the color at this point.
Mike Altschaefl: Yes, good morning.
Jeffrey Campbell: I wanted to ask regarding maintenance services, is your work exclusively on your own installations or can you perform work on installations from others? What I'm really wondering is, if over time can the service businesses create relationships that lead to installations, as well as the installations obviously leading to services work?
Mike Altschaefl: Yes, great question. We absolutely believe that to be the case. So there is no significant connection between us being able to provide lighting in miscellaneous electrical services based on whose product is in the facilities. And that happens currently in our -- the business that we acquired back in January, Stay-Lite, where we are doing maintenance services on a variety of product. Often the manufacturer of the fixtures is quite different from who provides the maintenance services. And then secondly, to your point, we do think that ability to cross-sell both the maintenance services to our existing LED turnkey project solution customers, as well as the other direction is possible for us on the services side. So we are not limited by our own install base.
Jeffrey Campbell: Okay, great. Thank you. And I wondered if you could just provide a little bit further color on the ESCO channel. I mean, I understand the ESCOs emphasis on performance. I just wondered about relationships there, their importance, do you see some ESCOs as more important than others, just strategically how are you approach, how do you go about approaching the ESCOs that you want to work with?
Mike Altschaefl: Sure. We have a really long history of working with ESCOs and we've been selling two ESCOs these energy service companies that, manage a number of energy projects for their customers, going back to when we first started in business 26 years ago. And strategically we've talked in the past that about five years ago, we kind of made some strategic shifts in our sales, adding distribution, and we lost a little focus on the ESCOs and we've been very heavily going back and focusing on them the last few years. And we are starting to see really good results from having a heavier focus on the ESCO market. So we see a lot of potential there with them. ESCOs we believe in many cases like to buy and want to buy directly from the manufacturer, which we can do, because they typically may not need the services of the distribution market channels. And in addition, we're able to provide product today that sometimes some of our competitors can't because we do have the U.S. based manufacturing, and we think we've got our inventory of components in a good position for us. So we actually see a really bright future for us with ESCOs and there are, we believe a number of them that we've not touched in the past. And so we have some very active marketing and sales activities focused heavily on the ESCO channel.
Jeffrey Campbell: And if I could just follow that up since, you just said a few minutes ago that the ESCO sales were flat year-over-year. Do you attribute that to the same sort of forces that you've discussed other projects that have been pushed out and that you're keeping an eye on for 2023, or do you think it's been more this business of having maybe gotten away from really pushing those sales and now that you're making a more concerted effort in the area that you might see some growth there respective of anything else?
Per Brodin: Jeff, it's Per. Let me correct that, I misquoted the penetration on that. For the current, for fiscal 2022 U.S. markets was actually at about 16% penetration and 10% the prior year. So, sorry for that.
Jeffrey Campbell: Oh so that’s good growth.
Per Brodin: That's significant growth, both dollars and penetration…
Jeffrey Campbell: Great. Then you can scratch my last question.
Per Brodin:
K:
Jeffrey Campbell: Oh, great. Well, thanks for the clarity.
Per Brodin: Thanks.
Operator:  Our next question will come from Bill Dezellem of Tieton Capital. Your line's open.
Bill Dezellem: Thank you. Let me start with supply chain. You had mentioned that yours is likely a little bit better than it was three months ago, but do you have a sense of the impact on your competitors supply chain specifically from the lockdowns in China and what that either has or could impact them in future months?
Mike Altschaefl: My comments would be, need to be somewhat high level, because I certainly don't have specific knowledge of our competitors supply chain situations Bill. But when we think about the fact that our view is that we import a substantially less amount of complete fixtures from Asia and particularly China that we believe our competitors do and the fact that we have our component situation in good shape, that we're continuing to deliver product as we mentioned earlier on the call, often in two weeks or less, we feel we're in a better position and we can tell anecdotally through the sales channel that we've been given opportunities over the last few months where a competitor has not been able to deliver product on a timely basis to the site either whether it's new construction or retrofit. So we think the early efforts, that we took of building up some inventory, both in certain finished goods that come from Asia, as well as components and working really hard with our suppliers and finding alternatives and substitutions that we have fared fairly well. And so we think we are in a better position than most of our larger competitors from a supply chain standpoint.
Bill Dezellem: Right. And so the essence of the question was, do you think that that advantage may widen in coming months, I suppose, I should have asked it that way, is that, what’s your sense there?
Mike Altschaefl: I think it's hard to tell at this point in time it. I'm not sure we've seen the full extent yet of the lockdowns because it takes some time kind of both situations and they -- it hasn't gotten significantly better at this point in time. So I would have to say school's still a little bit out on that one, but there could still be some advantages we think over the next few months from a supply chain standpoint to us versus our competitors.
Bill Dezellem: Great, thank you. And then my second question has to do with pricing. How much, if at all, does your pricing need to catch up with costs that have come about as a result of inflation?
Mike Altschaefl: We feel that we've taken the right moves from our price increases in the marketplace, and it's always a balance between wanting to remain competitive and making sure that we protect gross margin. And our philosophy as a management team has been that when you go through an inflationary period, you need to focus heavily on protecting your gross margin. And the fact that we grew our gross margins on a year-over-year basis is a reflection that we have been able to do that. We have had three general price increases over the last 18 months and we feel that we -- as we did those, we watched with the information that we could obtain of what our competitors were doing and we felt that we were either in line or below what we saw some of our competitors doing. And we also worked very hard with our suppliers to manage some of the inflationary pressures that we were seeing. So our feel so far is that we've managed with it and feel we remain in a competitive position right now and have certainly protected our gross margin through this period of inflation Bill.
Bill Dezellem: Great, thank you for the time.
Mike Altschaefl: Yes, thanks bill.
Operator: And our last question will come from  Equities Investment. Your line is open.
Unidentified Analyst: Good morning, everyone. Thank you for taking my question.
Mike Altschaefl: Sure.
Unidentified Analyst: I'm a new investor and I'm looking at the revenue trend obviously from quarter-to-quarter, and it's obviously been declining, and the fourth quarter looks especially lull relative to what you've been doing over the last several quarters. Can you break down the components of what growth -- I know we've talked about supply chain and customer delays, et cetera, but what are the components of the delays or the shortfall in revenue for the fourth quarter and how do you expect those to be resolved over the next several quarters?
Mike Altschaefl: Sure. I think one, thank you for being a shareholder. I Appreciate your question, Tony. I think that as we discussed in our February call and somewhat today that certainly the second half of fiscal 2022 was not up to what our original expectations were. And we attempted in as much detail as we could back in February to describe some of the things that caused that to happen. And so, the impacts of those in Q3 and Q4 were a combination of a global online retailer, where we were doing new construction fixtures for their fulfillment centers, where they needed to take a slowdown and pause on their expected business in the -- I'll call it the first calendar quarter of 2022, and continuing due to their supply chain issues of their new construction materials, such as steel for their fulfillment centers. We had situations where we had customers that were planning projects, but they had some other supply chain issues with their facilities and therefore had to pull back somewhat. We had some government -- Federal Government business that was expected to go more quickly. So those handful of things that we saw had been delayed. Those delays for the most part continued through the fourth quarter. And which is why, as you said, the fourth quarter was somewhat softer than what we had expected back in the January and February timeframe. I think today, we feel very optimistic. Again, we feel that most of that business has not been lost, although, I will say that the first quarter has continued to be somewhat sluggish in terms of companies fully turning back onto the projects that they have been planning on in the past. And so when we think about our fiscal 2023, it's likely to be somewhat backend loaded from our revenue and expectations, but again, we feel good about the customer base that we have, and the projects that are in place. And at this point, we're not seeing a lot of things canceled. It's just been a slowdown for the reasons that we have mentioned. So it's probably as specific as I can get at this time, Tony.
Unidentified Analyst: That's very helpful. And the -- my second question is, how would you consider your competitive position as your revenues have dropped? Have you, do you feel you've maintained your market share or you've raised it, or is that a bit lowered?
Mike Altschaefl: Well, a, a couple of things and first I'll tie it a little bit back to your earlier question. And one thing, I should have mentioned also is that one impact we had in the fourth quarter of fiscal 2022 is, we did get to largely the end of the rollout of the U.S. retail locations for our largest customers. There was a known situation that was coming, and you finally get there where you get through most of those locations. So that was part of the fall off and that happened in that fourth quarter. I think that -- I think going forward, we still feel very optimistic about where things stand today and I think from a competitive standpoint, I've never been one to really talk a lot about market share because it's a massive industry. And when we have talked in the past about just the fact that commercial and industrial lighting we think is somewhere around 30% implemented in the U.S. through the Department of Energy Studies and that the market is going to be massively growing over the next five years. We just have to be better than our competitors and take more business away from them and get more than our share. So I think at our size and the size of this industry to me the market share is not important. It's just taking business that we win through better product, better service and better execution than our competitors.
Unidentified Analyst: Understood, thank you very much and the best of luck.
Mike Altschaefl: Thank you very much, Tony.
Operator: That concludes the Q&A session. I would now like to turn the call back over to Mike Altschaefl for closing remarks.
Mike Altschaefl: Thank you, Latonia. And thanks again to everyone who joined us today for your interest in Orion. Today, we are participating in-person at the LD Micro Conference in California, which is a Hybrid Conference and for any Investors, who may want to see our presentation, please contact LD Micro. We participated in several virtual conferences over the past year, many of which were recorded and are available on the IR section of our website. So if you have any questions or if you would like to schedule a call with management, please contact our IR team. Their contact information is included in today's press release, and we really welcome your interest. So thanks again for joining us on today’s call and we look forward to talking to you after the next quarter. Have a great day. Thanks a lot.
Operator: Today’s conference call is now concluded. Thank you. You may now disconnect.